Operator: Good morning, and welcome to Berkshire Hills Bancorp Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to David Gonci. Please go ahead, David.
David Gonci: Thank you. Good morning, and thank you for joining this discussion of third quarter results. Our news release is available on the Investor Relations section of our website, berkshirebank.com, and will be furnished to the SEC. Supplemental investor information is also provided in an information presentation at our website at ir.berkshirebank.com, and we will refer to this in our remarks. Our remarks will include forward-looking statements, and actual results could differ materially from those statements. For detail on related factors, please see our earnings release and most recent SEC reports on Forms 10-K and 10-Q. In addition, certain non-GAAP financial measures will be discussed on this conference call. References to non-GAAP measures are only provided to assist you in understanding our results and performance trends and should not be relied on as financial measures of actual results or future projections. The comparison and reconciliation to GAAP measures is included in our news release. And with that, I’ll turn the call over to Acting CEO, Sean Gray.
Sean Gray: Thank you, Dave. Good morning, everyone, and thank you for joining us today for our third quarter earnings call. With me this morning is Jamie Moses, our CFO; and for Q&A will be joined by George Bacigalupo, our Commercial Banking Leader; Georgia Melas, Chief Credit Officer; and Greg Lindenmuth, Chief Risk Officer. Let me start by saying that since our last earnings release, we have been focused on driving stronger financial performance. Our measure of core pre-tax, pre-provision revenue increased by 30% quarter-over-quarter due to higher revenue and lower expenses. The efficiency ratio improved to 65% from 71% and our capital and liquidity metrics continued to strengthen. Additionally, we made great progress in moving our loan customers back towards normal payment schedules as business operations were normalizing in our market. While we have been taking these immediate steps, we have also been moving forward with developing our 21st-century community bank. As a result of the team we’ve cultivated and the technology that we’ve already invested in, we have the capacity to respond to the accelerated changes in customer preferences and shifting workplace dynamics. We have introduced an industry-leading digital account opening experience and enhance our customer experience by upgrading our call center and rolling out our e-signature platform. We’re also developing strategic initiatives that rationalize our real estate footprint at both the branch and corporate level with the goal of improved profitability in 2021. I’m grateful for the dedication of the whole team and serving the shifting needs of our markets during the pandemic while strengthening our company and our culture. At this time of leadership transition, I want to assure you that the executive team and Board are working closely together towards our larger corporate objectives. We understand that actions matter and we are committed to taking the necessary steps. Our markets were active in the third quarter as the economies, and most of our regions were reopened with some continuing restrictions and certain activities. General transaction volumes moved back towards normal with digital channel usage remaining elevated. Commercial credit demand remains subdued as forward business planning continues to face uncertainty. Our PPP loans remained unchanged as banks and customers waiting for clarification of loan forgiveness rules. I want to focus at this time on a credit quality update. We have some slides in our investor presentation with updated credit information. Our lending teams, which have reported to me for several years continue to work actively with our credit risk team to assess and manage the portfolio. We’re being proactive in our credit administration. And as a result, we have a comprehensive understanding of our pandemic credit risk. Our traditional loan performance metrics remains in line in the third quarter, including delinquencies, non-accruals and charge-offs. We disclosed reductions in our COVID loan payment deferrals in September. Our investor presentation shows that these deferrals remain on a downward trend. We have narrowed the commercial industries that we view as COVID sensitive and these accounts for the preponderance of the loan modifications that we are reporting. Our loan loss provisions declined from the elevated levels of the first half of the year. And we are comfortable that we’re properly reserved for pandemic related loan losses based on the current outlook for the public health and economic activity. We maintain a discipline credit process and strive for strong communications with our customers. The decline in loan outstanding this year has reflected cautious loan demand from customers along with higher customer liquidity and accelerated prepayments. Our regional teams are well-positioned to respond to qualifying credit needs in our community. And we have strong capital and funding sources to be a preferred credit provider with structures and pricing that are appropriate to this environment. Our teams remain dedicated to serving our markets and I have full confidence that we are well-positioned to maintain this service with prudent decision making as we go forward. At this point, I’ll ask Jamie to comment further on some of our financial metrics. Jamie?
Jamie Moses: Thanks, Sean. We produced core EPS at $0.53 per share resulting in a core ROA of 84 basis points and a core ROE of 9.3%. On a GAAP basis, EPS was $0.42 per share. ROA was 67 basis points and ROE was 7.5%. Our core results were up both quarter-over-quarter and year-over-year. We posted higher revenue and lower operating expenses in the third quarter compared to the prior quarter. The benefit of this is clearest in the efficiency ratio, which improved to 65% from 71%. It also shows up in our non-GAAP measure of PPNR, which increased by $7 million to $30 million on a quarter-over-quarter basis. Our revenue gain was based on a 9% increase in fee income, which was mainly driven by higher deposit fees as customer activity moved back toward normalized levels. We also had a nice pickup in secondary market income on stronger volumes in both mortgage banking and SBA lending, which offset lower commercial swap revenue during the quarter. We expect total fee income to remain near these levels in the fourth quarter. Turning to net interest income. This revenue slipped a little by 1% due to lower loan balances. The margin was little changed at 261 basis points and the income change reflected low earning assets. Getting aside, PPP loans, while we expect loan volumes to begin to firm after year end, it is likely that these balances will decline further in the fourth quarter. We are focused on minimizing and offsetting this decrease including expanding the investment portfolio and reducing higher costs wholesale funds. We expect that further deposit cost reductions will generally offset changes in loan yields. At this time, we expect most PPP loan forgiveness to benefit 2021 results, but we may see some net interest income benefit in the fourth quarter. Our unamortized PPP net deferred fees totaled $16.5 million at the end of the quarter. Turning to the credit loss provision. Since we had previously buttressed our allowance protection, there was a modest $1 million provision expense during the third quarter, a slightly better economic forecast emerged at the end of Q3 and the overall loan portfolio decreased. There was no material change in the ratio of the allowance to loans during the quarter. Moving on to expenses. These came down from the second quarter, which was elevated due to the one-time bonus related to PPP loan originations. We also reduced other compensation expense during the quarter and we continue to keep a close focus on operating expense as we are targeting flattish expenses in Q4 relative to Q3. Moving to the tax line, we had a small tax credit for the quarter due to the losses recorded in the first six months. We expect the tax rate to be in the area of 10% in the fourth quarter, but this will depend on the timing of factors affecting pre-tax income. We recorded $5 million in after tax non-core charges for the third quarter. This was primarily due to the cost of the CEO separation agreement that was entered into during the quarter and related professional fees. We continue to record wind-down costs on our discontinued operations, but expect to complete those costs of this transition in the fourth quarter. I’ve noted the progress we made on key operating components and our goal is to build on that progress as conditions allow. As you know, we announced that we were cutting our dividend in half beginning with the most recent payment. And this decision was to better align the dividend with our current level of earnings generation. Consistent with our new procedure, we will communicate later in the quarter about the next quarterly dividend. We’re continuing to improve our capital metrics until we feel that there’s opportunity to reinitiate stock buybacks, which we view as attractive based on current market conditions. And with that, I’ll turn the call back over to Sean.
Sean Gray: Thanks, Jamie. As you’ve seen, we are managing pandemic related impacts for our operations and borrowers and doing the necessary work to adjust our business model to improve performance in this environment. We’re answering changes in customer behaviors, while keeping our focus on our community bank values. As I mentioned earlier, we recently launched a best in class digital account opening technology, which has been in development for a number of months. This is a more visible component of the technology investment that we have absorbed into our current expense run rate. This platform provides benefits to the customer experience to revenue generation and to our operating efficiency. Our enhanced capabilities are that much more valuable as a result of the customer needs and accelerated digital transformation resulting from the pandemic. As I indicated upfront, we’re well along in a strategic analysis to rationalize our infrastructure footprint. This includes reshaping our branch office network, identifying and releasing surplus corporate real estate and making other operational adjustments to our business model. We are also looking to formalized cost save opportunities arising from work from home, as well as changes in procurement process in the current environment. Our goal is to reduce annualized core expense by $10 million to $15 million by the second half of 2021. We expect to have more announcements about these strategies in the coming months, we intend to streamline our business model in our core markets and leverage organic growth around that foundation. Two critical enablers will be the technology we previously invested in and our MyBankers program. As you know, we have been successfully developing and deploying these mobile personal bankers for a number of years to bring service to customers where and when they need it. And they remain integral to the distinctive customer experience that we are developing as a 21st-century community bank. In line with our initiatives, we recently announced the promotion of two of our leaders to Regional President position, our Wealth Leader, Kate Hersey, will lead our Boston region team. And Lori Kiely, the head of our foundation will lead our Berkshire County region. Our Regional Presidents remain critical to our engagement with the markets that we serve. As a result of these promotions, women now constitute half of our Regional President team. We also promoted our Executive Vice President and Chief Information Officer, Jason White, who’s driving our technology investment and was recently honored as the Boston area CIO of the year. Our purpose-driven culture was further recognized by the North American Inspiring Workplaces Award for our diversity and culture program, which is under the direction Jackie Courtwright, who was promoted to Executive Vice President and Chief Human Resources and Culture Officer. I’ll close by thanking our team, our investors and our other stakeholders, who rely on us to operate this business and enhance franchise value as a strong and preferred provider to our markets. With that, I’ll ask the operator to open the lines up for questions. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Mark Fitzgibbon with Piper Sandler. Please, Mark, go ahead.
Mark Fitzgibbon: Thank you, and good morning guys. First, just wanted to clarify a couple of things that you had said, Sean, did I hear correctly that you had said your cost savings initiative would potentially reduce annualized expenses by $10 million to $15 million?
Sean Gray: That is correct.
Mark Fitzgibbon: And that will start to appear in sort of the back half of next year.
Sean Gray: Actually, the work to that has started now and as we alluded to – we’re hoping for additional announcements coming soon. But, yes, we’ll start to see that in the middle of next year.
Mark Fitzgibbon: Okay. And then, Jamie, you – I’m sorry, go ahead.
Jamie Moses: I just want to add to that, Mark. Just – you’ll see that start to appear in the beginning of next year, but as Sean said that we expect to sort of fully realize those things by the back half.
Mark Fitzgibbon: Okay. And then Jamie, just to clarify something you said, you think the stock is attractive here, capital ratios are building. Have you applied for with the regulators permission to be able to buy it back? Or is that something you’re contemplating?
Jamie Moses: Yes, I mean, we don’t – I don’t want to get too far into the details of our interactions with the regulators, but I would say that we are working on the ability to start to buy back shares. As you said, we think that we have very strong capital ratios. We think we are very well capitalized in that regard. And I’ve said that over the last six months, as we’ve been talking through this. So from a buyback perspective, I think that there’s certainly that opportunity there.
Mark Fitzgibbon: Okay. And then you had referenced the possibility of the balance sheet shrinking in the fourth quarter. I mean, is it likely to just be sort of natural runoff. Or are you planning a much larger shrinkage of the balance sheet in 4Q?
Jamie Moses: No. At this point, I think we’re looking more of a natural runoff with a little bit of softness, I think on the customer side from – in terms of demand. And in our remarks, we also talked about using some of our excess liquidity to increase the securities portfolio to try to help ourselves in that regard to offset some of the runoff.
Mark Fitzgibbon: So it looks like you have a little over $900 million of liquidity that sort of half of that go away quickly as you deployed into securities or is it more than that.
Jamie Moses: No. I think you’re thinking about that, right. I mean, in terms of quickness, that’s a big number to do quickly. But I don’t – we’re not looking at increasing the portfolio by $1 billion.
Mark Fitzgibbon: And then two last things, I wonder if you could share with us your outlook for the margin in 4Q and what the effective tax rate might look like in 2021. Thank you.
Jamie Moses: Yes. Sure. So I guess, the – I’ll start with the tax rate, that’s obviously highly dependent on elections and things like that. I guess, I would say sort of steady state, we would expect it to be in that 20% range, where we’ve been in the past. Although, we’re still working through all of the components of that in terms of forward guidance into next year. And on the margin, again, as I’ve said, we’re looking to deploy some of that excess liquidity into the investment portfolio. So sort of offsetting declines on funding side of things, we expect that we can probably decrease our deposit costs by another 10 to 15 basis points. But that could be offset by increased investments – in the investment portfolio, which as you know, are going to be a little – have a little less margin associated with that. So I think that we’re probably in a flat tight margin scenario in Q4, and of course, if PPP accelerate, there’s positive opportunity there.
Mark Fitzgibbon: Thank you.
Operator: Our next question comes from Collyn Gilbert with KBW. Please, Collyn, go ahead.
Collyn Gilbert: Thanks. Jamie, just to start follow-up on your comment on the NIM and some of the dynamics there. Do you – are you guys in a position to sort of give us some a sense as to what you think NII is going to do. Or NII bottoms, I mean, obviously you had indicated further runoff in the fourth quarter. But sort of how you’re thinking about NII trend and excluding PPP, but trending throughout next year.
Jamie Moses: Right. So again, it’s little too early to talk about 2021, I think, other than to say, we expect to start turning this around into an asset generation story versus a balanced shrinkage story. So I think, I’m hoping to keep NII levels similar in the fourth quarter as they are now. But again, that’s going to be dependent on a lot of things that happen yields that we can get in the investment portfolio payoffs that may or may not happen on the loan side of things in Q4 and just sort of those general market conditions. So feeling pretty good that you’re not going to see some asset decline in NII here into the fourth quarter and then on a go forward, we would expect to increase that.
Collyn Gilbert: Okay. Okay. And just to get our arms around some of the dynamics with the runoff on the balance sheet. Do you happen to have what the loan origination volumes were this quarter versus what was paid off?
Jamie Moses: I don’t have that right in front of me right now, but I can get back to you on that.
Collyn Gilbert: Okay. Okay. And then, I guess, just following on that, Sean, indicated that there’s momentum within kind of your lending business and kind of throughout the footprint. And I mean, any sense and is it maybe if there’s a kind of a target that you’re putting out there for your lenders, in terms of loan growth for next year. Just trying to get a sense of what you think kind of the franchise is capable of generating, in terms of new loan demand next year.
Sean Gray: Sure. Obviously, we’ve done so much from a balance sheet rationalization. And we’ve identified products and offerings that didn’t meet our community bank kind of overarching strategic model. And so you’ve seen us start to jettison aircraft, you’ve seen us whether that be indirect lending. So we do feel now, we’ve got a real good core focus on what we do well and where we compete from a value differentiation perspective. So I know George is on the phone today, we’re setting at least low to single digit loan growth goals for the commercial business. And as we’ve talked a lot about, we’ve aligned it with our four main verticals, which are CRE, C&I, business banking and ABL. And then we also think would this better focus? There’s some niche businesses that perform well in these current economic environment. And that being our business banking, our 44 business capital group, as well as ABL. So demand is subdued right now, but activity as we measure it through sales force is speaking towards a pent up demand if the macroeconomic conditions can stabilize. So that’s how we’re thinking about it in totality, I hope that helps from a directional perspective.
Collyn Gilbert: No, it does. It does. Okay. Thank you for that. And then, so just shifting to credit, obviously, resolution on the deferrals. Two things, one is, can you kind of guide us through how you’re thinking about sort of the deferral workouts from here. And maybe where the embedded risks still lies from a loss perspective. And then also, two, if you could give us any color as to what some of the classified loan trends were during the quarter.
Sean Gray: Sure. Obviously, deferrals remain on a downward trend. And we’re making progress even within that deferral bucket of moving comes back to normal payments, and then there’s percentages within that deferral bucket, where we are seeing that they are paying interest at this time. So I’ll probably kick this over to George or Georgia, I think you’ll be able to provide a little bit more detail to the question.
Georgia Melas: Yes. Collyn, hi, it’s Georgia.
Collyn Gilbert: Hey, Georgia.
Georgia Melas: Hi. Speaking about the criticize assets are trending up. Currently, we are in the fours as a percentage of total loans, obviously, due mostly to the COVID impacted businesses. And we will be putting out obviously more information about that in the Q. As far as how we’re thinking about it from a workout perspective, I mean, we have formed a hospitality management group that is overseeing all of the hospitality loan currently in deferral. So we are speaking to our customers on a regular basis, obviously, we’re getting updated financial information, and we are seeing that a large majority of those customers are looking for turn to interest-only. What we are seeing in some cases, our sponsors are asking for longer term deferrals, but like I said, in return, we will be receiving interest payments and/or an interest reserve will be established. So that’s the way we’re dealing with the hospitality portfolio. As far as the Firestone portfolio goal, we are seeing deferrals across most segments, concentrations will be or are in the location based entertainment and the fitness segment. But again, as we’re entering into the third phase, we are seeing customers starting to return to interest only. So we are encouraged by that.
Collyn Gilbert: Okay. Okay. And then, I guess, just finally closing the loop out on that for you Jamie, in terms of how you’re thinking about the reserve from here. So kind of stable in the third quarter and is the expectation that it’s really going to be about movements within the delinquencies and charge-offs of what you’re seeing in the deferral bucket that, that drives the provisioning more than any other qualitative factors, or just kind of your thoughts around the reserve outlook.
Jamie Moses: Yes, Collyn, I think that’s right. I think that we’re – what we’re seeing is generally speaking a stabilizing macroeconomic forecast and output around those things, which help, which continue to drive that any changes in that, obviously it could affect it as well. But I think that that’s really more of where we’re looking at now, right, which is how things are progressing through the credit process, and what changes we see there. And you had also asked about classified Collyn and we’ll have more information on that in the queue.
Collyn Gilbert: Okay, okay. Very good. I’ll leave it there. Thanks, guys.
Jamie Moses: Yes. Thanks, Collyn.
Operator: Our next question comes from Laurie Hunsicker with Compass Point. Please Laurie, go ahead.
Laurie Hunsicker: Yes. Hi, thanks, good morning.
Sean Gray: Hey Laurie.
Jamie Moses: Hey Laurie.
Laurie Hunsicker: Georgia, just look at – if we could just go back to Firestone, can you help us think about the $258 million, $62 million in deferrals this is September 30. What is that looking like as we roll through to the end of October? How much do you expect those deferrals down? And then also on that book, can you just help us think about what’s interest-only?
Georgia Melas: Well, currently as of the end of September, I would, and this is a guess I could get you the actual numbers, but I would guess that the majority of that $62 million is full payment deferral. As far as going through the month of October and through the fourth quarter, I think the – again this is an in-process number the 24%. So that is capturing what we expect to be doing this month based on conversations that we’ve had with our customers and what’s in the pipeline. So I think the percentage is probably going to stay right around where it is. But what we are seeing is that as we are talking to our customers going into the fourth quarter. More and more we are hearing from customers that they will be able to return to interest-only, but I really wouldn’t even want to take a guess as to how much of it would go back to interest-only this quarter. At this point, I think it’s too early.
Laurie Hunsicker: Got it, okay. And then I know the portfolio had about I guess $16 million or so in PPP loans likely on change. Do you know of the remainder of the portfolio, what clients took PPP loans away at other banks? Another – go ahead.
Georgia Melas: No, I understand and interesting that you ask that because we actually surveyed some of our Firestone customers and this goes back to the second quarter. And what we found, I think we spoke to over 200 of our customers and we were able to come up with through extrapolation roughly 50% to 55% of those customers did apply for PPP loans from other institutions.
Laurie Hunsicker: Got it, okay. That’s helpful. And then what percentage is out of footprint? What percentage is out of New England? Is that the majority of that?
Georgia Melas: In Firestone?
Laurie Hunsicker: Yes.
Georgia Melas: For Firestone, yes, absolutely. The majority of it is out of our…
Laurie Hunsicker: The majority, okay, okay, so, okay. That’s helpful. And then on the hotel book, same question in other words as we roll through October where do you see those deferrals going on the $330 million, you’ve got $160 million now with could we see that continue to come down?
Georgia Melas: I’ll start that, and then I’ll flip it over to George, because I know George is having daily conversations with his team on these loans. But yes, I would expect that number to come down and I also would expect the majority of those customers to return to interest-only, and like I said, with many of them posting reserves. George, did you add something?
George Bacigalupo: Yes, sure. Yes, just a couple of comments I would say is that some of the customers are towards destination type of hotel. So our core market of the Berkshire is as well as a Newport, Rhode Island would be another example. Where those folks is the highly seasonal and pretty much the off season now in the winter. So those are folks that will – we feel very confident that they will eventually return to full payment and probably need longer-term deferrals. The good news is that we’ve moved to the deferrals in the fourth quarter approximately 70% of $160 million are able to make as payments to us. And in many cases they were having full P&I deferrals earlier. So we’re seeing some progress, we think there’s some resiliency and some liquidity with those operators.
Laurie Hunsicker: Okay, great. That’s helpful. And then Jamie, just wondered if we could go back to margin, I know last quarter you had indicated potentially 15 basis points to 20 basis points of expansion by the end of the year.
Jamie Moses: Yes.
Laurie Hunsicker: And it sounds like it’s maybe a little less, can you help us think about in your comments around obviously the decreasing deposit cost basis, but can you help us maybe think about that a little more, what sort of restructuring things that you have planned that are going to be helpful to margin?
Jamie Moses: Right. So the biggest benefits of the margin is sort of paying off higher whole costs or sorry, wholesale funding costs on that. So we expect maybe 15 basis points – 10 basis points to 15 basis points on the deposit side of things. On the one hand it’s great that the industry has this liquidity in terms of deposits that have stuck around and maybe a little bit longer than we had anticipated. And so we have these deposits and there is fewer things to invest those deposits into. And so they tend to be at the moment it’s going to be in bonds that that do not have as high a yield as a your typical loan portfolio would. So it’s reinvesting some of these deposits into the securities portfolio sort of expanding the securities portfolio a bit, which will increase NII on the one hand, but the margin would decrease along with that.
Laurie Hunsicker: Okay, okay, great. And then also just wanting to go back to – I wanted to make sure I heard you right. Your one-time costs, merger restructuring costs or I should say restructuring costs wind down in the fourth quarter. I just wanted to make sure I heard that right. So that will be looking forward, whatever restructuring you’re tending to do, you’re tightening it up in the back half of this year. Is that correct?
Jamie Moses: That’s right. That’s right.
Laurie Hunsicker: Okay, okay. And then what do you expect the restructuring charges in the fourth quarter, or is that too early?
Jamie Moses: It’s too early. I wouldn’t expect a really large number in the fourth quarter, right. And so just if you’re looking at F-9 of the release, that those restructuring charges were related to almost entirely to the CEO separation that happened during the quarter.
Laurie Hunsicker: Okay, okay, great. That’s helpful. Thank you very much. I’ll leave it there.
Jamie Moses: Yes. Thanks, Laurie.
Operator: Our next question comes from Collyn Gilbert with KBW. Please Collyn, go ahead.
Collyn Gilbert: Hi guys, sorry, just a quick follow-up. I just want to make sure. I’ve got some of these numbers correct. So Sean, your comment about looking to reduce operating expenses by $10 million to $15 million on an annual basis in 2021. And I know you had indicated some of it to be achieved in the first quarter, and then the majority of it achieved by the end of the year. But just want to tighten that up a bit. So off of what base should we be assuming? Is that a third quarter 2020 OpEx number? And if so, what is it, just trying to nail that down a little bit clear.
Sean Gray: Jamie, would you – yes, okay.
Jamie Moses: So Collyn, I’ll take that. Yes, it’s really based off of what we say our – what we think our core expenses are on a year-over-year basis. So think about it as the core expenses that we’ve given throughout the year $10 million to $15 million off of that. And so on average, the third quarter core number that’s about right, that’s about right how you should be thinking about it.
Collyn Gilbert: Okay. So, because if I’m – I mean if I’m thinking, if we’re on the same page in terms of what the core expenses are, but like so I’ve got core expenses in 3Q of $67.5 million, but that’s quite a bit lower than maybe the $71 million and the $70.5 million that you put up in 2Q. So is it taking like an average of those three quarters and then taking $10 million to $15 million off of that? Or is it taking $10 million to $15 million off the $67.5 million as the future run rate?
Jamie Moses: Yes, yes. Sorry. So I should be more clear. You should take an average of the three quarters and then take the $10 million to $15 million of that.
Collyn Gilbert: Okay. And by the end – by 4Q 2021, that run rate should essentially be $10 million to $15 million less than the average of those three.
Jamie Moses: You got it.
Collyn Gilbert: Okay, okay. Just wanted to confirm, thanks.
Jamie Moses: Yes, yes. Thanks, Collyn.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Sean Gray for any closing remarks, please. Mr. Sean.
Sean Gray: Well, thank you all. I appreciate the questions. And this concludes our formal announcements and please join us in our fourth quarter earnings call. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.